Operator: Good morning, ladies and gentlemen, and welcome to the Gartner’s Earnings Conference Call for the Second Quarter 2012. A replay of this call will be available through September 3, 2012. The replay can be accessed by dialing 888-286-8010 for domestic calls and 617-801-6888 for international calls, and by entering the passcode 27832693. This call is being simultaneously webcast and will be archived on Gartner’s website at www.gartner.com for approximately 90 days. I would like to turn the call over to Mr. Brian Shipman, Group VP of Investor Relations. Please proceed sir.
Brian Shipman: Thank you and good morning everyone. Welcome to Gartner’s second quarter 2012 earnings call. With me today is our Chief Executive Officer, Gene Hall; and our Chief Financial Officer, Chris Lafond. This call will begin with a discussion of Q2 2012 financial results disclosed in today’s press release, followed by an opportunity for you to ask questions. I’d like to remind everyone that the press release is available on our website, that URL is www.gartner.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results, and are subject to a number of risks and uncertainties, including those contained in the company’s 2011 Annual Report on Form 10-K and Quarterly Reports on Form 10-Q, as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. With that, I would like to hand the call over to Gartner’s Chief Executive Officer, Gene Hall. Gene?
Eugene Hall: Good morning, everyone. Welcome to our quarterly earnings call. For the second quarter of 2012 Gartner once again delivered strong results. On an FX neutral basis, we showed growth across all three of our business segments. Research, our largest and most profitable segment continued to grow at double-digit rates. Consulting had another solid quarter performance and events continued to exceed our long-term growth targets. Normalized EBITDA was up 16% quarter-over-quarter, and diluted earnings per share was up 34% over second quarter of 2011. As you’re aware, we’re looking at a tough world economy with economic uncertainty coming from all major geographies. Here in the U.S. unemployment continues to be a challenge. In Europe, the debt crisis remains threatening and in Asia, growth has slowed. Despite this environment, Gartner consistently delivered excellent results across all our businesses. We’ve achieved double-digit results across all geographies and industries for the past several quarters, and we expect this trend to continue. Our results demonstrate the strength and successful execution of our strategy for growth. Our strategy enables us to continue to capture our substantial market opportunity, which as I’ve stated in the past, we estimate to be at $47 billion. The fundamentals of our strategy are to create extraordinary research insights, to build strong sales capability, to deliver high-value differentiated offerings, to provide world-class service, and to continually improve our operational effectiveness. IT is complex, continually evolving and remains one of the most important drivers of growth and competitive advantage for virtually every institution in the world. Whether an organization is looking to leverage technology to achieve rapid growth, or looking to manage costs, Gartner is the best resource to turn to for help and our results show it. The Gartner brand is in a class by itself. Our products, services and people are superior to the competition. And we have a successful and attractive business model with high renewal rates, great cash flow and incremental margins. I remain confident and excited about our prospects for sustained double-digit growth over the long term. With that, I’ll hand the call to Chris, who can comment in detail on our second quarter results.
Chris Lafond: Thanks, Gene and good morning, everyone. We delivered another very strong quarter in Q2. On an FX neutral basis, we once again achieved double-digit growth in revenue, earnings and cash flow. In research, year-over-year contract value growth remained strong at 14% on an FX neutral basis, and retention rates ended at or near all-time highs. In Events, our revenues were up 16% FX neutral and accelerated in Q2 from Q1 on a same events basis. And in Consulting, our benchmark and core Consulting businesses grew a combined 9% year-over-year FX neutral while our Contract Optimization business was lower year-over-year as a few deals moved into Q3. Demand for our services was robust across all three business segments in the second quarter. Our strong top line performance and effective execution in capitalizing on the operating leverage in our business allowed us to once again expand our gross contribution margin, which is now at 60%, up from 59% in Q2 of 2011. As a result, we delivered significant growth in earnings in Q2. In the second quarter, normalized EBITDA increased 16% year-over-year and our GAAP diluted earnings per share were up 34%. With this strong start, we’re well positioned for continued growth for the remainder of 2012. These results again demonstrate the continued successful execution of our strategy, our ability to consistently deliver on the long-term financial objectives we have established over the past few years and the overall value we bring to the strategic IT initiatives of our clients. I’ll now review the results of our three business segments in more detail before taking your questions. And I’ll begin with Research. Second quarter, Research revenue was up 11% to $278 million, excluding the impact of foreign exchange, Research revenue growth was 14% in the quarter. The margin in this segment increased from 67% to 68% as our strong execution continues to capitalize on the operating leverage inherent in this business. All of our key Research business metrics improved or remained very strong in the second quarter. Contract value grew to a record level of $1.141 billion, a growth of 14% year-over-year on an FX neutral basis. Our growth in contract value in Q2 remained broad-based, with all geographies and industry segments delivering strong double-digit growth year-over-year. New business again increased from last year continuing the trend we’ve seen since late 2009. The new business mix was balanced between sales to new clients and sales of additional services and upgrades to existing clients. While our contract value growth continues to benefit from our discipline of annual price increases and no discounting, approximately 83% of contract value growth came from volume. This volume growth reflects our success in continuing to grow the business by penetrating our vast market opportunity with both new and existing clients. As a result, we ended the quarter with 12,474 client organizations, up 7% year-over-year. And as for pricing, we’ve consistently increased our prices by 3% to 6% per year on an annual basis since 2005 and that remains our plan again in 2012. We have maintained client retention near record highs for the past two years and our client retention rate ended the quarter at 83%. In addition to retaining our Research clients at an impressive rate, the clients we retain continue to increase our spending with Gartner. And as a result, wallet retention also remained strong at 99%. Wallet retention is higher than client retention due a combination of increased spending by retained clients and the fact that we retained a higher percentage of our larger clients. As we’ve discussed in the past, our retention metrics are reported on a four quarter rolling basis in order to eliminate any seasonality. So in summary, our Research segment continued its strong performance in the second quarter. We grew contract value by $141 million on an FX neutral basis year-over-year. We continue to see strong demand from clients. And we expect continued acceleration in revenue and contract value growth over time. We remain confident in our ability to deliver 15% to 20% annual revenue growth in this business over the long term. Turning now to Events, our Events business continues to deliver exceptionally strong year-over-year growth. Events revenue in the second quarter increased 13% year-over-year on a reported basis and 16% excluding the impact of foreign exchange. During the second quarter, we held 21 events with 12,540 attendees, compared to 21 events with 11,295 attendees in the second quarter of 2011. On a same events basis, Events revenue accelerated in the second quarter from the first quarter of this year, with total attendees up 12% year-over-year and exhibitors up 13%, both in line with the guidance we provided to you for the full year 2012. We’re seeing strength in every geography and across the entire Events portfolio. Our Events business is well positioned to deliver continued growth through 2012 and beyond. Moving on to Consulting, revenues in our Consulting business grew 1% in the second quarter on an FX neutral basis, but declined 1% on a reported basis. Our benchmark and core Consulting businesses delivered strong results up a combined 9% FX neutral year-over-year in Q2. Our Q2 Consulting segment results were impacted by our contract optimization business, which can vary from quarter-to-quarter given the nature of that business. As I mentioned earlier, a few large deals moved from Q2 into Q3. Backlog, the key leading indicator of future revenue growth for Consulting ended the quarter at $93.1 million or a healthy four months of backlog. Our pipeline remains solid as we enter the third quarter. Billable head count of 481 was down 2% from the second quarter of 2011 and up slightly from last quarter. Utilization for Q2 was over 67%, up 360 basis points from the second quarter a year ago and revenue per billable head count remained above $400,000 per year ending the quarter at $425,000. With a solid second quarter, a four month existing backlog and a strong future pipeline, the Consulting business is on track to deliver results in line with our guidance for the full year. Moving down the rest of the income statement, during the second quarter, our gross contribution margin increased by 114 basis points year-over-year to 60%. This increase was driven by margin improvement in our Research and Events segments. In particular, the successful execution of our strategy continues to capitalize on the high incremental margins and operating leverage inherent in our research business. SG&A increased by $12 million year-over-year during the second quarter. The increase was primarily attributable to the continued growth in our sales force. As of June 30, we had 1,356 quota-bearing sales associates as compared to 1,146 a year ago, which represents an 18% growth year-over-year, in line with our long-term target for growing our sales force by 15% to 20% per year. Moving on to earnings, we delivered another strong quarter of solid earnings growth. Normalized EBITDA was $79 million in the second quarter up 16% year-over-year. And GAAP diluted earnings per share were $0.43 up 34% year-over-year. Note that GAAP diluted earnings per share in Q2 were negatively impacted by $0.02 of acquisition related charges. Our normalized EBITDA margin was 19.9%, all of this is consistent with the phasing guidance we laid out at our Investor Day in February. Turning now to cash, our strong performance so far this year translated into a significant year-over-year increase in cash from operations, which was $99 million for the first half of 2012 as compared to $64 million in the first half of 2011. Over the long term, we continue to expect to generate free cash flow substantially greater than our net income given our tight cash management and the negative working capital characteristics of our Research business. During the second quarter, we utilized our cash to complete the acquisition of Ideas International for a net purchase price of $10 million, as well as continuing to return capital to shareholders through our share repurchase program. Our share repurchases for the first half of 2012 were over 2 million shares at a total cost of almost $85 million, which nearly matched this level of share repurchases in the first half of 2011. We ended the quarter with a strong balance sheet and cash position with net debt of $50 million. Our current credit facility runs through December 2015, and at this time provides us with almost $362 million of available borrowing capacity. We have ample cash flow and liquidity to continue to grow our business and execute initiatives that drive increased shareholder value. We continue to look for attractive acquisition opportunities as a potential use of cash and in the absence of appropriate acquisition opportunities, we believe that repurchasing our shares remains a compelling use of our capital and we have $231 million remaining under our Board authorization. Now I will close with a business outlook for 2012. Our business remains well positioned for another year of strong growth in revenue and earnings. At the midpoint of the year, we’re on track to deliver the results we communicated back in February. The second quarter modestly exceeded our original expectations for EBITDA and EPS. As a result, we remain confident in the guidance we provided at the start of the year. Looking ahead to the second half of 2012, I would point out that our full-year GAAP EPS guidance remained unchanged despite our expectations that acquisition and integration charges related to the recently acquired Ideas International will impact EPS by roughly $0.03 per share on an after-tax basis. So to summarize, we delivered great results for the second quarter of 2012 and demand for our services is strong. We generated double-digit revenue growth and our key business metrics remained strong in the second quarter of 2012. Our initiatives to improve operational effectiveness, coupled with positive operating leverage inherent in our businesses delivered strong operating margins and we continue to generate substantial operating cash flow. We will continue to invest in our business and return capital to shareholders through our share repurchase program, and we expect to repurchase shares throughout 2012. Finally, with double-digit growth in contract value in the second quarter, we established a solid foundation for delivering a strong year of revenue and earnings growth this year. We remain well positioned to continue our consistent delivery of double-digit revenue and earnings growth and increasing returns to our shareholders over the long term. We’ll now be happy to take your questions. Operator?
Operator: Thank you. (Operator Instructions) And your first question comes from the line of Peter Appert, Piper Jaffray. Your line is open. Please go ahead.
Peter Appert – Piper Jaffray: Thanks and good morning. So, Gene, I know you typically don’t give guidance on contract value, but given the stepped up pace of sales force hiring, I’m wondering if you’re feeling more confident about the second half of the year or maybe even more broadly, if you could just talk about what you see in terms of visibility in the backlog or contract value pipeline?
Eugene Hall: Good morning, Peter. So, I’m actually feeling great about the second half for the year and on into 2013. We did add a lot of sales people towards to the end of 2011 and those sales people have gone through their training and they’re getting their initial territories, and so I really expect they’d be hitting traction in both the second half and then obviously through 2013. If I look at our pipeline, pipeline looks terrific in terms of deals and as Chris said, while we had great growth in all geographies and all industries. Our pipeline continues to look that way across the board. So, I’m quite optimistic about both the second half as well as again going into the 2013.
Peter Appert – Piper Jaffray: Thanks, Gene. And Chris the – so the margin performance is pretty impressive here in the second quarter particularly after the margin was basically flattish in the first quarter, can you talk about the implications of stepped up sales force expansion in terms of – should we be thinking about more modest margin improvement in the second half?
Chris Lafond: Thanks Peter. The way to think about the margin expansion for us comes in a couple places. As you know, we talk often about the incremental margins in each of the three businesses. So, on the research side, we believe we have a roughly 70% incremental margin. So, for every dollar we sell, about $0.70 will flow through the gross margin line. Today that business is at about 68% margin. So, there is still some room for that to continue to expand up towards that 70% number. Consulting we think over the long-term is 40% and we are not quite there yet, and Events is between 48% and 50% and we’re starting to get pretty close to that number. So, there is certainly still some room each of the three segments, as we continue to grow and the mix shift as well. Right so, as we continue to grow Research faster than the others, you continue to see margin expansion simply because of that mix shift. So, those are all the drivers that happen kind of on the gross profit line, as you go below, and look at the SG&A line, SG&A has been relatively stable as you know, we’re investing heavily in sales as we talk about. We continue to manage G&A, G&A continues to come down as a percent of revenue; that will continue to be a source of margin expansion as well. So, we still think there’s plenty of opportunity, I think we’ve done a really good job of expanding the sales force over the past six or seven years, while also expanding margin. And I think we can continue to do that 50 to 150 basis point expansion, as we continue to move ahead.
Peter Appert – Piper Jaffray: Got it. Thank you and then just last thing, Gene or Chris any comments in terms of sales force productivity, and leverage you’re seeing from that, Gene you sort of mention that I guess, to my earlier question.
Eugene Hall: Yeah, so basically on sales force productivity, there’s two things going on. One is, for our tenured sales people, we continue to work very hard to drive that sales productivity, we see that rising over time. And then obviously, as we add more new sales people that changes the mix, in their first year or so, our new sales people have lower productivity and so, if we have a richer mix of new sales people in the first year obviously that impacts the kind of average productivity.
Peter Appert – Piper Jaffray: Got it, okay, thank you.
Operator: Thank you and your next question comes from the line of William Bird, Lazard. Your line is open, please go ahead.
Bill Bird – Lazard: Good morning. Nice results guys. Just a follow-on related to contract value, just given in the macro context and some of the seasoning that’s going on in the sales force, when would you expect contract value growth to get back in 15% plus range?
Eugene Hall: Hey. Its Gene. We are not, as Peter mentioned earlier, we don’t forecast contract value, but as I mentioned I think we expect to see – we’ve got a great pipeline as we see the large numbers of people that we added in the latter part of last year get up to speed we expect an acceleration over time. So I think we’re talking in the second half into 2013.
Bill Bird – Lazard: And at this stage, just given the macro volatility, have you seen any of that translate to business on the ground?
Eugene Hall: The thing that – it’s clearly a tough macro environment everywhere, but the thing that IT is really important for every institution as I mentioned in my talk and what we see impacts our performance more than anything else is our execution as opposed to the macroeconomic factors. As I mentioned and Chris also mentioned, we had double digit growth in every geography and in every industry segment, again this quarter even though the economic environment is not that great. And again if we look beneath that through the individual sales teams that do well versus don’t do well, it really is driven by economic – I mean it’s really driven by our operational performance, not the economic environment. IT is a great way to save costs in the institution and when people have those kinds of issues, we help them with that. And so it’s really applicable – our services are really applicable in any kind of environment.
Bill Bird – Lazard: Okay. And just final question on Events, what are you seeing in advanced bookings for exhibitors and attendees?
Chris Lafond: Hey, Bill, it’s Chris. As you know, we monitor that very closely, if you look at our, for example upcoming fall symposiums, the advanced exhibitors are looking great well ahead of last year, so continuing to look really strong. If you look back at all the events we’ve had so far this year, all of them – almost every event we’ve had is up year-over-year both in attendees and exhibitors so we’ve got really strong performance. Everything we see so far continues to suggest that we’ll continue so we see no indication of anything other than that.
Bill Bird – Lazard: Thank you.
Operator: Thank you. And your next question comes from Manav Patnaik, Barclays. Please go ahead.
Manav Patnaik – Barclays: Thank you, good morning gentlemen. Just to expand on the sales productivity area. Can you maybe give us some color on what the productivity looks by region? Is Europe because of the economic situation there, it may be slightly less than U.S. and Asia or just some characteristics around the different regions?
Eugene Hall: Yeah. So, our – it’s Gene, our sales productivity varies on a number of factors not just geography, it’s things like are they selling to large companies versus small companies versus mid-sized companies, is it a market where we’ve got a very large counter value base or one that we entered relatively recently. So, for example, some places in China, we might have entered more recently not have as big a contract value base, so not as be of renewals. So, all those things affected, you have to look at all those. But if I would kind of summarize above that to sort of say, what’s going on by geography, to get back to original question, is there is no major driver that says, gee we’re getting, things are doing worse because the economic problem somewhere is worse and in fact, our – if you look in Europe just as an example, they – their performance year-over-year was among the best in our entire – if you look at across all the regions despite the economic environment. As I mentioned, we had double-digit growth everywhere in Europe, in fact year-over-year was one of the stronger performers. So, it’s really again driven by our operational execution, not by the market – not so much by the market environment.
Manav Patnaik – Barclays: All right. And then you obviously grew sales force, again 18% year-over-year this quarter. I guess, just to try and get an update on sort of the hiring environment, I mean obviously people out there are looking for jobs, but just in terms of the quality and attrition rates, maybe just an update on that?
Eugene Hall: Yes. So, our attrition rates are right where they have been. Our sales force attrition hasn’t changed materially. So, that’s going great. In fact, we’re very focused on actually lowering it because we would like to have people to stay longer, particularly making sure we hire people that are a really good fit with Gartner.
Manav Patnaik – Barclays: All right, again the last question, just for the Ideas acquisition, like was there any contribution to revenue, contract value, et cetera this quarter and maybe should we expect anything for the next two?
Chris Lafond: Hi, Manav. It’s Chris. The Ideas acquisition, as you know, is a very, very small organization. So, there’s really no material impact to revenue, EBITDA, CV. The only place that there was anything even remotely material was the $0.02 of acquisition-related charges that we talked about. That number will be $0.03 for the full year. So, we’ve already taken a bulk of that and for the rest of the year it should not be material to our results at all.
Manav Patnaik – Barclays: All right, great. Thanks a lot of guys.
Operator: Thank you. And your next question comes from Tim McHugh, William Blair. Your line is open. Please go ahead.
Tim – William Blair: Yes, thanks. Just want to circle back to the contribution margin for Research. I know there is inherent leverage in the business, but it’s been – it’s particularly strong this quarter. Was there anything that you’re seeing in terms of the efficiency of the research organization or something else that explains it or is it really just normal operating leverage?
Chris Lafond: No, nothing unusual. No one-time things. I would say it’s just normal ongoing operation of the business. I think as we continue to grow the Research business, we know how to manage those costs. We know how to take advantage of the leverage in that business. So I wouldn’t say there was anything unique or different, there are periods of time where we have timing of different things that bounce between quarters, so you may see a particular quarter a little stronger. But overall I think for the full year, we still expect that we’ll see a nice expansion in that segment.
Tim – William Blair: Okay. And then just on the uses of cash here, you talked about buying back stock, it was a little lower this quarter than the prior few quarters. Is that because you’re looking for acquisitions and you’re waiting to see how things were happening or is it just the normal timing and I guess what does that mean for the second half in terms of uses?
Chris Lafond: Yeah. I think there’s just normal timing between quarters. I think if you look at the half, we’re basically right where we expect to be in terms of our share repurchase program. And yes we were looking at – we always look at acquisitions and continue to look at acquisitions. We obviously used some money for one this quarter. But, I would expect that you’ll continue to see us be in the market on a regular basis and it could be lumpy every quarter, but overall we’ll continue to be in the market.
Tim – William Blair: Okay. And my last one. The number of organizations, the growth really picked up there and was a little better than I would have thought. Was that fairly evenly spread or are there particular regions or markets that drove that?
Chris Lafond: It’s pretty well balanced, when you look at our overall contract value growth and you look at the overall growth in CV by either geography, industry, it is extremely well balanced across all of that, so I wouldn’t point out any individual place that was particularly stronger or weaker than anywhere else. So I would say, continues to be very balanced.
Tim – William Blair: Okay, thanks.
Operator: Thank you. And your next question comes from Bill Sutherland, Northland Capital Markets. Please go ahead.
Bill Sutherland – Northland Securities: Thanks very much. Just want to be clear, Chris, on the trend, contract optimization revenue. That’s just a push out, correct? You don’t see – I mean it’s not like a headwind that you’re dealing with?
Chris Lafond: No, not at all, if you look at our Consulting business, as I talked about on the call, our Core Consulting and Benchmark businesses had a really strong year-over-year performance so continuing the strength we saw in Q1. So those were both up a combined 9%, FX neutral. Contract optimization can be a little bit lumpy as the nature of that business depends on when clients choose to do a particular IT purchase transactions and so we’ve completed some work on few deals that we already see coming into Q3 so those have just slipped from Q2 to Q3. So we still feel very confident that the guidance we’ve given in the businesses performing exactly as we’d expected.
Eugene Hall: Bill, it’s Gene. I’ll just give a little color on that which is, the way that business works is we do the work helping the client and we get paid when they actually sign the contract and we had a few deals that we actually, as Chris said, completed work in actually during Q2 but they signed the contract in like the first couple weeks of Q3. So we don’t get paid until then. And our expectation is that those deals will just enhance our Q3 business with that segment.
Bill Sutherland – Northland Securities: Makes sense. I just thought since it’s tied to client purchases and that might be a place where the economy’s having some impact? So I just want to be clear on that.
Eugene Hall: Yeah, actually, if anything – Bill, just one thought on that, if anything it’s the opposite which is that, there’s $3.1 trillion or $3.2 trillion of IT purchases, we cover a teeny portion of that. And the – that business is in very high demand, because people – in places where people are under cost pressures, that’s a great way to save money. And so if anything I think there is – when times are tough is when that business shines the best.
Bill Sutherland – Northland Securities: Makes sense. I wondered if you will – I was looking to see if you release this in the past or talked about churn, customer churn, in terms of either voluntary, like deciding to end the service, or involuntary related to corporate activity and if that’s shifting at all?
Chris Lafond: Hey, Bill. It’s Chris. So I would say if you look at our client retention rates, our client retention rates are at essentially all-time high, so I think we’re at 83% this quarter which is up from where we were, by another point. As we always talked about our longer-term goal, we believe we’re driving towards a 90% number there. We think there is certainly some activity that’s related to acquisitions, bankruptcies et cetera. So, there is some percentage of accounts that we can’t necessarily control, because of those things. I would not say there is any meaningful shift in anything we’ve seen, I think our retention rates continue to improve and continued to improve with all the activities that we’re taking to work on that.
Bill Sutherland – Northland Securities: So 90% is kind of like the natural ceiling potentially?
Chris Lafond: I mean where we are today, we certainly have set a target to get 90% and as we get there, as we always do with you guys, we’ll share with you what we think we can do as we get to those numbers. So, we’re always going to be strive to be better than where we are today.
Eugene Hall: Yeah, just to add – it’s Gene, just to add to it – we’re actually quite optimistic that we can continue to increase that retention, as Chris said, over time.
Bill Sutherland – Northland Securities: Great. And then last one from me, on research contract terms, what proportion are annual and what proportion are multi-year?
Chris Lafond: As you know, the minimum contract length for the most part is one year, we have about a third of our contracts are multi-year at any point in time. And when you look at contract value, the only thing in contract value, it’s all annualized. So even if we have multi-year contracts, you’re only seeing one year’s worth of CV in that number. So the multi-year does not affect our CV number.
Bill Sutherland – Northland Securities: Thanks, Chris.
Operator: Thank you. And your next question comes from the line of Anjun Singh, Credit Suisse. Your line is open.
Kelly Flynn – Credit Suisse: Hi, this is Kelly Flynn on Anjun’s line, thanks. Just a couple of questions, sorry to go back to this, I think this is the third time on the back half contract value thoughts, but I think in response to Bill’s question, Gene, you said you’re very confident and you mentioned something about the second half and into 2013 with respect to acceleration. Couldn’t quite hear exactly what you said there, I’m not sure what you mean, we’re obviously trying to figure out if you expect contract value growth to accelerate in the second half or is this a 2013 issue? So, if you just go back to that comment and clarify that would be helpful? Thanks.
Eugene Hall: Sure, Kelly. So, we don’t forecast contract value growth, so we’re not going to give a forecast for what the number is going to be, but what I’m saying basically is that we have capacity in place. We’re executing well and we think we can continue to execute well. And as a result, I’m quite optimistic that over time our contract value growth will accelerate.
Kelly Flynn – Credit Suisse: Okay. All right, fair enough. And then for the sales force growth I know you said 15% to 20% for the year, which is consistent with past comments. Should we expect that to come in towards the lower end of the 155 to 20% in the back half given what you’ve done in the first half?
Eugene Hall: Yeah. Again, I think we’re – we gave the 15% to 20% based on our operational performance, and so and we look for areas where we see the best opportunities to add sales people and there’s a rate at which people can productively come onboard and we gauge based on looking at actually our operational ability to assimilate new people and we think the floor of that 15%, we can easily do 15% and we think kind of right now, the maximum to do is 20% and so it’s not like we have a fixed number or aiming towards more of that, we do it on an operational, what makes sense operationally.
Kelly Flynn – Credit Suisse: Okay great and then just a third one back to sales force productivity, I think I backed into kind of how you guys calculated with some help from Brian about the NCVI per salesperson, net contract value increase per sales person. I’m just wondering if that looked like the decline widened a little bit in the quarter year-over-year. Can you help us understand sort of how do you – how should we think about that metric, the net contract value increase per salesperson, should that increase sequentially in the third quarter or should the decline narrow? I mean can you give us any help on how we can measure improvements in that metric in our model?
Chris Lafond: Hi, Kelly. It’s Chris.
Kelly Flynn – Credit Suisse: Hi.
Chris Lafond: Yeah, great question and so as you know – we certainly accelerated and had to do lot of hiring of new people in the first part of this year and when you look at sales productivity, we’ve certainly had a much richer mix of new people versus existing people and so that certainly has an impact as you look quarter-to-quarter on how that productivity measure trends. So our trend continues to move ahead. So productivity is moving as we had expected to move, we certainly expect as we get into the back half of the year that of all of those people become fully trained, get more productive, we start to see that productivity increase as we go through the year. So and then obviously we’ll depend on how many more sales people we add towards the back half of the year or early next year. So there is a number of factors that will affect that and it’s a question of when those people come on board, what that mix looks like. As we talk about all the time, I think the key thing for everybody to remember is, growing your sales force 15% to 20% with normal sales force turnover in the 15%, 17% range, you are going to have 35%-ish of your sales force in the first year, that’s a big number to manage. And that will move over time depending on when we bring those people in and that will impact the quarterly productivity numbers. So I think for us the key is to keep watching, to make sure that as we look at the details below it as in terms of the productivity of new people, productivity as people go through their tenure that we feel those things are moving in the right direction and that’s exactly what we feel today.
Kelly Flynn – Credit Suisse: Okay, thank so much. That was helpful.
Operator: Thank you. And your question comes from Brian Karimzad, Goldman Sachs. Thank you.
Brian Karimzad – Goldman Sachs: Hi, good morning. So on that net new salesperson you’re putting on the ground. Can you get more specific on what types of opportunities and framework of opportunities you are putting against – them against versus the existing sales force? And then on the training side, to the extent you needed to make adjustment there, are you ready if you need you to put some work expense behind accelerating some efforts there and making sure the productivity gets up to speed in the short-term and get 2013 on track?
Eugene Hall: Yeah. Hi, Brian. It’s Gene. So first on the opportunity side, we have identified today 108,000 institutions as potential clients, of which only about 27,000 are actually assigned to a sales territory today. And so as we add new salespeople, we have plenty and plenty of opportunities, we know where there are today, it’s just a matter of we don’t have enough salespeople yet. So when we bring the salespeople on, we do one or two things. We take some of those new territories, some of that, roughly 70,000 institutions that are not yet assigned to a salesperson. The other thing we do is, as Chris mentioned, we have normal sales force turnover and so when somebody leaves us we obviously replace them with another sales person and they get that. And so it’s a combination of – it could be replacing an the existing sales territory or we could be bringing a whole new territory. And that happens in the U.S., it happens in Europe and it happens in Asia, all three of those. With respect to training, we have a huge – we know that we want to have – grow our sales force 15% to 20% a year and we’re going to have order of magnitude 15% turnover which is again normal turnover. So as Chris said, we’re going to have like 30% or 35% people in their first year every year. So, recruiting and training are a huge focus for us and we have taken our training program from very basic five years ago to being what people – when we hire experience sales – when they go through our training program, they say it’s the best training program they have ever seen. And, we’re not stopping there. We know, to your point, how important it is and so we’ll continue to enhance those programs over time, it’s a source of continuing investments it’s not static in anyway whatsoever. Same thing with recruiting by the way, we are always focused on how do we identify people that are most likely to be successful, how do we get better, better and better over time, so our sales force turnover is lower and our initial productivity is higher.
Brian Karimzad – Goldman Sachs: Okay. And Chris for those of us keeping the box score, if we wanted to include the acquisition, the Ideas acquisition in our ACV number, it looks like it was about $9 million revenue run rate last year. Is that kind of a fair amount to kind of pop in there as we back it out?
Chris Lafond: Their revenue is not all Research revenue, they have some Consulting and other revenues and so, what I would – what I would say, as we talked about earlier, it’s not material to the results. So, I wouldn’t – it’s not going to move the needle either way.
Brian Karimzad – Goldman Sachs: Okay, thank you.
Operator: Thank you. And your next question comes from Dan Leben, Robert W Baird. Your line is open.
Dan Leben – Robert W Baird: Great, thanks for taking my question. Gene, you talked about the sales productivity having some variances between the size of customers. Could you just talk about what you’re seeing there and any trends within the different customer sizes?
Eugene Hall: No, I mean I think basically it’s the same trends we’ve seen, there’s nothing new there. Basically the – and I think that’s true about the customer size and by geography. Some geographies, our sales – we’ll use more selling by telephones like that and so no material change in that at all.
Dan Leben – Robert W Baird: Okay. And can you just give us an indication of the magnitude of the contract optimization that we should think about being additive to the third quarter, those bigger deals that slipped?
Chris Lafond: Hey, it’s Chris. So, just when you look at the contract optimization business, if you look at it standalone just remember contract optimization is kind of 10%, 15% of the overall Consulting business so that’s the kind of magnitude. That business was down probably 20% to 25% year-over-year, so there’s probably $3 million to $4 million of immediate impact of things that we think will slip from – did slip and we’re already seeing coming into Q3.
Dan Leben – Robert W Baird: Great, thanks. And last one from me, just on the Consulting backlog, down a little bit sequentially and just if you could talk a little bit about, is there an FX impact in the backlog as well as just overall trends down a couple of quarters in a row from a really strong number in the fourth quarter?
Chris Lafond: Yeah. So, just a couple of points on backlog. The first thing that’s really important to note is the months of backlog, so we’re still trending at around four months which is exactly where we want to be. So, we feel really good about the months of backlog that we have. FX is a pretty minimal impact to backlog, so I wouldn’t say that that was a driver. If you look back we had a particularly strong Q1 in Europe with backlog, so we certainly expected to work some of that backlog down. And so from where we are today, we feel very confident that the backlog is where it should be and it’s supporting what we think we should be delivering in the back half of the year.
Dan Leben – Robert W Baird: Great. Thanks guys.
Operator: Thank you. And your next question comes from Eric Boyer, Wells Fargo. Your line is open.
Eric Boyer – Wells Fargo: Yeah. Thanks. So can you remind us what the tax rate assumption was for the year and then what you’re now expecting for 2012?
Chris Lafond: Yeah. The tax rate – the effective tax rate of 32% to 33% and we still expect to be in that range. It was a little lower this quarter because we had some credits that were booked this quarter related to our Stamford headquarters and some credits we received from the State of Connecticut. So, but overall we’ll be still in that 32% to 33% range.
Eric Boyer – Wells Fargo: And then just on the sales force growth, could you talk about the areas where you’re focusing the most in terms of verticals and geographies?
Eugene Hall: Hey, it’s Gene. So, the – we are growing our sales force basically everywhere, in geographies, everywhere and sized companies and everywhere in industries because there’s opportunities in all those spaces and – it’s operationally. So for example, we don’t want to grow one team 50% – if we’re going to average 15% to 20%. We don’t really want to grow one team 70% or 80% and one team 5% because the team that’s growing 70% or 80% would be very hard operationally to manage. So, we try to keep all the industries and all the verticals and all the geographies growing in kind of a range. That range could be higher than our talk of higher than 20% in some very fast growing particular markets. But, and could be a little bit low if we see that there’s an area where we think operationally the team needs to some changes before we had a lot of head count. But, you can think about we’re growing in all the geographies, all the industries and all-size clients.
Eric Boyer – Wells Fargo: Could you give us a sense of some of those faster growing markets you just talked about?
Eugene Hall: Yeah. So, it won’t surprise you. It’s places that are the faster growing economies in the world. For example, in some parts of Asia, we’d be at the higher end of those ranges as opposed to the lower end of the range. We’ve grown very – People’s Republic of China, for example, we’ve grown faster than the kind of 20% that we talked about there.
Eric Boyer – Wells Fargo: Okay, and then are you seeing any change in the pace of opportunities adding the sales pipeline for either Research or Consulting?
Eugene Hall: Well, I mean basically we have a very robust pipeline and we track this very systemically in terms of opportunities and it looks very robust.
Eric Boyer – Wells Fargo: And then just the length of the sales cycle, any changes there other than that one piece of the Consulting business you talked about?
Eugene Hall: Yeah, I would say, no – no changes in selling cycle, one of the things that we’ve gotten very good at in this economy is where clients have cost problems they need to deal with, budget problems they need to deal with, we know how to talk with them and how to make sure we’re helping with them in being front and center or as part of the solution and so, even in areas where there are big budget concerns and things like that we’re pretty good at addressing those. So, yeah, no change in the selling cycle we’re seeing.
Eric Boyer – Wells Fargo: All right, thanks a lot.
Operator: Thank you. And your next question comes from Bill Sutherland, Northland Capital Markets. Your line is open. Thank you.
Bill Sutherland – Northland Securities: Chris, just a quick follow up, because I think I may have missed your commentary about FX impact in the second half of the year either revenue or CV?
Chris Lafond: Hey Bill, it’s Chris, effectively we don’t try to forecast foreign exchange; we never have. So, basically we look at where the exchange rates are today and we look forward and so all of our current assumptions assume, FX is kind of where it is today. If it moves dramatically, we’ll come back and tell you what the impact is. If you look at where we are through the first half in the second quarter, we probably had a kind of 3 to 4 point impact on top line, similar impact on expense and not a huge impact on the bottom line, but we’ll see where it goes for the remainder of the year.
Bill Sutherland – Northland Securities: So from – I guess on that, given rates where they are today, what would it do to the second half?
Chris Lafond: Well, we just reconfirmed our guidance that we put out, so right now we still believe with the foreign exchange at the levels they are today, we will still be in the range of the guidance that we gave at the beginning of the year.
Bill Sutherland – Northland Securities: Okay. Thanks, Chris.
Chris Lafond: Thank you.
Operator: (Operator Instructions) There are no other questions waiting at the moment. Thank you.
Brian Shipman: Okay. Thanks for joining us, everyone. If you have any follow up questions, feel free to call my office at 203-316-3659 and have a great weekend.